Operator: Greetings and welcome to the Ensco plc third quarter 2010 earnings conference call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instruction) As a reminder this conference is being recorded. It is now my pleasure to introduce your host Sean O'Neill, Vice President of Investor Relations for Ensco plc. Thank you, Mr. O'Neill you may begin.
Sean O'Neill: (Inaudible) third quarter 2010 conference call. With me today are Dan Rabun, CEO; Bill Chadwick, our Chief Operating Officer; Jay Swent, CFO; as well as other members of our executive management team. We issued our earnings release which is available on our website at enscoplc.com. Later today we plan to file our SEC Form 10-Q. As usual we will keep our call to one hour. Any comments we make about expectations are forward-looking statements and are subject to risks and uncertainties. Many factors could cause actual results to differ materially. Please refer to our earnings release and SEC filings on our website that define forward-looking statements, list of risk factors and other events that could impact future results and include Safe Harbor disclaimers. Also, please note that the company undertakes no duty to update forward-looking statements. As a reminder, our most recent fleet status report was issued on Friday, October 15. Now let me turn it over to Dan Rabun, Chairman and CEO.
Dan Rabun: Thanks Sean and welcome everyone to today's call. The US Gulf of Mexico continues to be a major focus within our industry and for good reason. But before I discuss specific developments within that region, I will cover highlights from our global operations. First, we are very encouraged by the increase in our jackup fleet utilization to 79% for the quarter, up from 64% last year and 75% last quarter. In our deepwater fleet, utilization was 96% for ENSCO 8500 and 100% for ENSCO 8501, both in the US Gulf of Mexico. Also ENSCO 7500 successfully completed its contract with Chevron in Australia and has now moved to Singapore for scheduled upgrades, repairs and maintenance. These operating results are a testament to the high quality of wire equipment and our well trained employees who have received top scores for performance and reliability. Our operational success is directly tied to our commitment to safety, but I am pleased to report that we have maintained very high safety performance this year for the total recordable incident rate that is comparable to our record results in 2010. Ensco operates under a comprehensive and integrated safety program that is supported by a robust safety management system. Very importantly, all crew members are empowered with the duty to stop work which means employees who see something unsafe have not only the right, but the duty to intervene. Our dedication to safety is also shared by our partners and it was especially gratifying that we along with the couple of fellow shipyards recently received a safety reward from the Singapore government for the construction of the ENSCO 8503, which was delivered on time with no recordable instance during the entire construction process. We now have four 8500 series rigs in our fleet which along with ENSCO 7500 brings our total number of ultra-deepwater semis to five. During the quarter, we also added ENSCO 109, an ultra-high spec jackup that is ideally suited for deep-gas drilling, an important growth area in the jackup market. Adding ENSCO 109 underscores our commitment to continuingly highgrade our fleet just as we have done throughout our 20 plus year history. Customer requirements will continue to gradually increase overtime and its Ensco's strategy to maintain our position at the high end of the premium jackup market. It's important to remember however that at any point in time, customers around the world will have a variety of jackup needs ranging from different labelings, hoisting capacities and equipment requirements. Our objective at Ensco is to have just the right mix of rigs to match customer demand in each market so that we can provide cost effective solutions for our customers, while maximizing returns for our shareholders. Divesting selected asset has been a part of our highgrading strategy and we plan to sell ENSCO 60, bringing jackup rig sales this year to a total of four. Turning now to ENSCO 69, I want to commend our employees to our instrumental and successfully recovering ENSCO 69 from Venezuela during the third quarter. Since Petrosucre took control of ENSCO 69 last year, we have been carefully managing the situation to achieve the best possible outcome. We are glad to have recovered ENSCO 69 and we have collected most of the monies due to us under the agreement we had with Petrosucre. Now, let me turn to the US Gulf of Mexico. We were gratified by the recent decision by the US government to lift the drilling moratorium and we believe our lawsuit helped to accelerate this decision making our time, effort and expense well worth the benefits to our customers, employees, shareholders and the communities of the Gulf region. More work lies ahead however and we will continue to work very closely with our customers and assist wherever possible in the permitting process. Our efforts so far along with our customers have paid off as six of our seven jackups in the US Gulf have continued to operate and earn day rate. Most are working on side track for completion of assignments and one is drilling a new well. On the deepwater side, as you may recall we received the first two certifications under NTL-05 or ENSCO 8500 and ENSCO 8501, and as noted in the last fleet status report, both have been collecting full day rate. For ENSCO 8502, there is no updates since the last week's status report. Our customers disputing the commencement data of the two year term which we assert commenced on August 13 after meeting all of the required steps under the contract. We are actively working with our customers to resolve the dispute. In general, while we see further clarifications on the permitting process, we continue to explore various opportunities with our customers who continue to actively pursue permits for new projects. And that's in last quarter. I have the utmost confidence that our industry will become even stronger and safer following recent events. Workers in our industry are devoted to protecting people and the environment and I am confident we will find improvement that's to further enhance the safety of offshore drug. Turning now to other regions. Tender activity for deepwater rigs has improved somewhat in the third quarter, but mostly for short-term work. In Brazil, West Africa and Australasia, there are a few longer term projects although bid responses will be competitive. Petrobras is expecting to issue tenders for three or four rigs to commence work in 2011. Chevron and Angola has an outstanding tender for work beginning in the third quarter of 2011 for a two year term. Total has announced a work program in Asia and there is also additional potential work in Australia. We are in discussions with operators and currently are working on several tenders. On the jackup side, in Mexico all of our five rigs are contracted. PEMEX currently has tenders outstanding, two for short-term contracts that will likely go to incumbent rigs. The other tenders are for work beginning in January 2011. One is for a 350 foot jackup for 486 days and other for a 300 foot jackup for 662 days. Both tenders call for rigs built in 2,000 or later. PEMEX has also published a pre-tender for one 350 foot rig for 730 days beginning in February 2011 and two 300 foot jackups each for more than 700 days. Both have the 10 year age limitation stipulation. The media however has reported that PEMEX has confirmed its intention to relax the 10 year age requirement for certain future tenders. PEMEX also reportedly has additional tenders currently in some stage of approval. The tenders called for jackups for the possible single semi-requirement, they initiate later in 2011. The Middle East on the other hand continues to be a challenging market. Demand has been relatively flat with the exception of Saudi Aramco which has made several awards during the quarter and tendered for an additional work over rig as well as one oil and one standard gas rig. In India there are several short-term programs out for tender which will likely be awarded to warm stack rigs in the region. In Southeast Asia, the market is proving to be resilient, considering the number of new builds that have entered the market. Indonesia, Malaysia and Thailand are especially active. All new builds constructed in the region have been contracted with the exception of one that is currently undergoing commissioning. We are mindful that several high spec rigs will roll up contract over the next six months which may negatively impact day rates. The North Sea market show signs of recovery with increased tendering activity for work starting in the second half of 2011 for both heavy duty and standard jackup rigs. High utilization must be obtained though for day rates to increase. The Mediterranean may experience further pressure as four new builds enter this market in 2011. Now before I hand the call over to Jay, let we me make a few summary comments. While the situation in the US Gulf has added some variability to our outlook in the short-term mainly due to a pending dispute with one customer, our employees have done excellent job working to address the new regulations and I believe we have and will continue to fair better than most drillers in the region. Globally our jackup and deepwater rigs have performed exceptionally well as evidenced by their strong utilization and market conditions in both deep and shallow water markets have been improving. Finally, if we see oil prices remain at current levels, we believe it would be very positive for rig utilization around the world. Now I'll turn it over to Jay.
Jay Swent: Thanks Dan, my comments today will cover details of third quarter results, our outlook for the fourth quarter and a review of our financial position. Let's start with a discussion about some items that influence third quarter results. As many of you will recall, we classified ENSCO 69 has discontinued operations when Petrosucre took control of the rig last year in the second quarter. However as Dan mentioned, Ensco personnel were able to recover possession of the rig and move it out of Venezuela. Therefore during the third quarter we reclassified ENSCO 69 results back to continuing operations for both current and prior periods. For third quarter 2010, ENSCO 69 added about $0.04 to EPS from continuing operations with revenues of approximately $10 million and expenses of about $2 million. This revenue represents cash collections received from Petrosucre during the quarter. Earnings per share for ENSCO 69 were reflected in continuing operations for the first nine months of 2010 were approximately $0.09. ENSCO 69 is currently mobilizing to a shipyard in the Gulf of Mexico and we will fully inspect the rig once it arrives in the shipyard. Turning now to ENSCO 60. We have a pending agreement to sell the rig for approximately $26 million and have already received an initial non-refundable deposit. Taking these points into consideration we have classified ENSCO 60 as discontinued operations for current and prior periods since it is now held for sale. We expect to book a gain when we close the sale later this year since the net book value of ENSCO 60 is approximately $20 million. As noted in our earnings release, ENSCO 60 has been coal-stacked in the Gulf of Mexico and is the only rig of its type in our fleet. So we have determent that a sale is our best option for this rig, especially since the buyer intends to convert the rig to a mobile production unit. Moving now to ENSCO 8502. We did not recognize any revenue for this rig in the third quarter due to the pending contracts due with our customer. We did recognize operating expenses since the rig was placed in service on August 13. As Dan mentioned, we continue to work actively with our customers to resolve the dispute. Turning now to ENSCO 109. As you will recall we have purchased this ultra-high spec, Keppel FELS, modified Super B jackup for $186 million in July. The average day rate for rigs of this design in the market is about $150,000 and we anticipate favorable returns over the life of the rig. As part of the ENSCO 109 acquisition, we assumed that unfavorable below market contract in Australia in the low 100s per day. Under purchase accounting rules we will be recognizing revenue of approximately $150,000 per day over the life of this contract. This accounting treatment differs from what we discussed on last quarter's conference call. Now, I will discuss our results. Earnings from continuing operations were $0.92 per share compared to $1.01 a year ago. We had a loss of $0.01 per share from discontinued operations in the quarter primarily related to ENSCO 60 that is coal-stacked in the US Gulf of Mexico, compared to earnings of $0.04 per share a year ago. Third quarter earnings per diluted share were $0.91 versus $1.05 last year. Total revenue for the third quarter was $428 million, a 5% increase from last year. Deepwater revenues increased 77% driven by ENSCO 8501 which commenced operations in October 2009, as well as an 11 percentage point increase in utilization. This was partially offset by jackup segment revenues that decreased approximately 8%. Average jackup day rates were down $42,000 year-over-year to $105,000 as shown in our earnings release, although jackup utilization in the third quarter was 79%, up from 64% a year ago. So a contract drilling expense increased 11% year-to-year due to growth in our operating assets and higher utilization. Deepwater segment contract drilling expense was up $13 million or 38% due primarily to adding ENSCO 8501 and 8502 to the active fleet, partially offset by lower expenses for ENSCO 7500 that is now on the shipyard. Jackup segment contract drilling expense grew approximately 4% versus a year ago, mainly due to higher utilization and the acquisition of ENSCO 109. Now let's discuss quarterly trends by comparing third quarter 2010 sequentially to the second quarter of 2010. Third quarter revenue increased 4% to $428 million. This increase is attributable to a $27 million or 9% increase in jackup segment revenues driven by a 4% each point increase in utilization. The average day rate remained unchanged at $105,000, plus as I mentioned previously, we acquired ENSCO 109 at the start of the third quarter. The jackup segment revenue increase was partially offset by a decline in deepwater revenues of $10 million mainly due to ENSCO 7500 going into the shipyard during the third quarter. Total contract drilling expense declined $12 million sequentially from the second quarter, mostly due to the $12 million, ENSCO 1 barge rig impairment that was recorded in the second quarter. Our higher expenses related to the addition of ENSCO 109 and ENSCO 8502 were largely offset by lower [mob] and repair costs and reduced ENSCO 7500 expenses. Looking at other expenses, depreciation increased $4 million with the addition of two rigs and G&A expense decreased $1 million due to lower professional fees. The effective tax rate in the third quarter was approximately 17% which is higher than our prior guidance due in part to ENSCO 69 being reclassified back into continuing operations and ENSCO 60 being classified as discontinued operations. Now let's discuss the fourth quarter outlook. As I mentioned last quarter there are still a few key moving pieces which makes it difficult to be precise about the outlook. Based on our current outlook, total fourth quarter revenues are expected to be between $345 million and $400 million. While we will not get into the specifics by individual rig, factors influencing the range of this revenue outlook are primarily related to the deepwater segment. The key factors are the final outcome of negotiations to resolve the dispute concerning ENSCO 8502 and the ultimate contracting for ENSCO 7500 which will influence the amounts and timing of revenue recognition for the potential $26 million lump sum demobilization fee under the rig's prior contract in Australia. For ENSCO 7500, we've have had more customer enquiry since our last earnings call for work that may potentially allow us to recognize the lump sum fee in our fourth quarter results but again, this will only be determined once details of a new contract for ENSCO 7500 are finalized. On the jackup side, the average reported day rate is projected to decline somewhat as a result of older contracts rolling off the current lower market day rates. Leading edge day rates however have been firming. Jackup utilization is projected to remain in the high 70% range. Our revenue projections do not include any potential cash collections for ENSCO 69. Our Gulf of Mexico jackup rigs are expected to continue to have solid utilization despite hurricane season and the changing regulatory environment. Of course this is subject to our customers receiving permits which is also true for our deepwater rigs. Moving to the expenses, we anticipate fourth quarter 2010, total contract drilling expense will decrease by approximately $9 million from the third quarter. Expenses related to the addition of ENSCO 8502 to the fleet will be more than offset by lower expenses for ENSCO 7500 that is now in a shipyard. The re-certification process in the Gulf of Mexico under the new and evolving regulatory framework will add some cost although not material and certain expenditures are reimbursable under our existing deepwater contracts. Jackup contract drilling expense is estimated to be approximately even with the third quarter. Depreciation expense should increase to about $59 million with ENSCO 8502 now placed in service. We anticipate G&A expense will decrease to approximately $20 million in the fourth quarter as some of the transitional costs related to our UK move declined. Our full year 2010 effective tax rate is projected to be in the 17% range. Our effective tax rate outlook for 2011 remains unchanged at this time and assuming normalization of deepwater drilling in the Gulf of Mexico in 2011; we would expect to achieve an effective tax rate of 15% or below. 2010 capital spending is forecasted as follows; $610 million for the construction of our 8500 series rigs, $40 million for rig enhancement projects, $100 million is for sustaining projects and the $186 million was expended to acquire ENSCO 109. We continue to maintain a strong financial position even after significant investments in our fleet through acquisitions and our ultra deepwater new build program. Cash at the end of the third quarter was $905 million and our cash flow outlook remains positive especially as new capital outlay is decline. With that, I'll now turn the call back over to Sean.
Sean O'Neill: Okay, operator you may now open it up for questions.
Operator: Thank you. (Operator Instructions). Thank you. Our first question is from the line of Mike Urban with Deutsche Bank. Please proceed with your question.
Mike Urban - Deutsche Bank: Thanks. Good morning. There has been a lot of talk of bifurcation in the jackup market. I was wondering if and maybe there isn't a way to quantify that but even kind of qualitative remarks would help. Do you have any sense of some of the higher spec rigs that maybe working in or doing standard jackup work as that market tightens up. Are there opportunities for standard jackups and then maybe another way to look at it is, if you look at the bid and tender activity out there. How much of that requires a premium or high spec rig versus a standard versus kind of customer preference issue. Just trying to get a sense for the issue broadly.
Mark Burns: Yes Mark, let me answer you in a couple ways, certainly you have to look at your question and you have to compare different operating areas. Different operating areas have different requirements for jackups. Specifically in Saudi Aramco recently we've seen a demand for higher spec jackups that are able to handle heavy hook loads and that type of things. So you are starting to see a specific demand for our high spec rig there. However there are standard duty rigs that can and do performed work that high specification rigs have been tendered for. Operators, all companies obviously newer rigs are attractive to all companies so I think you will see some interest in that however over time its been shown that in particular areas that older well maintained jackups can do the work as efficiently and as well as the higher spec rigs can do. So yes, I think you will see some, and depending on what areas of the globe you are looking at, you will see some operators prefer newer, larger equipment. However as markets tighten up its been proven over and over again that standard duty rigs can do a lot of the work that the heavier duty or higher spec rigs can. So anyway, I hope that helps.
Dan Rabun: Yeah, just on (inaudible) this Dan. I mean the key to this business is to get the right rig for the right job, and if you have the right rig for the right job that's when you can achieve your highest day rate. There are a lot of newer rigs that are not working on the right jobs and they will not achieve those day rates that they would like to achieve, and that's why the standard duty rigs when its work that a standard duty rig can do, they will probably get the job and get at the same day rate a new rig would.
Mike Urban - Deutsche Bank: And then shifting gears a little bit over to the deepwater side, you talked about those potential tenders coming out of Brazil. On your 8500 series rig I think you've been having any discussions with them about getting those to kind of qualify the right word there, but I think they technically required something a little bit different from a DP standpoint. Where does the discussion stand and is that an opportunity for the remaining uncontracted new builds?
Dan Rabun: Well, first of all we need to see the tenders and see what the rig specifications are. So I couldn't really comment that what those tender specifications are going to be for those tenders. But typically just about any rig when you go to work for Petrobras you will find it's just like going to work for Aramco. That will be something your rig doesn't have and doesn't meet and that means you have to make a capital investment and that's true of everybody going into Brazil. There are always capital requirements to go take those jobs.
Mike Urban - Deutsche Bank: So, no reason why those rigs could potentially end up there?
Dan Rabun: Clearly we will be marketing them.
Operator: Thank you. Our next question is from the line of Matt Conlan of Wells Fargo.
Matt Conlan - Wells Fargo: The quarterly question of what you are going to do with all of your cash, how do you view the prospects out there for acquiring spec rebuilt rigs in the shipyard?
Dan Rabun: Well, I think as we have always said, a very high priority for us is managing capital and capital allocation. We continue to look at rigs in the market; we continue to be interested in acquiring additional jackups and also looking at deepwater rigs as well. So I think that will continue for the foreseeable future. I think you know if you look at what we have done now in just the last quarter, we have invested over $400 million in the fleet with about half of that, a little less than half of that being allocated to the ENSCO 109 to add a high spec jackup, we increased our dividend life now to a run rate of about $50 million a quarter. So we have engaged in the combination of investing in the business and also returning capital to shareholders. We will continue to look at that overtime.
Matt Conlan - Wells Fargo: Can you tell us whether the asking prices on rigs in the shipyard, particularly deepwater rigs have been coming down?
Dan Rabun: Directionally I would say they have, I can't give you exact prices or exact numbers, but directionally they certainly have become a little more reasonable. Yeah, I think one way to look at it is look at these recent quarters of these jackups and compare those to the market highs and I think you'd see a comparable trend on deepwater rigs.
Operator: Thank you. Our next question is from the line of Judson Bailey of Jefferies & Company. Please proceed with your question.
Judson Bailey - Jefferies & Company: Jay, I wanted to circle back on your comment on the 7500, I just want to make sure I'm clear on when you could potentially recognize the lump sum mobilization revenue in the fourth quarter, is that if you get a contract for the 7500, do I have that correct?
Jay Swent: Well, what we are saying there Jud is that and I won't get into all of the specifics of our prior contract but the prior contract provides that if we go back to work for Chevron, some or all of that demob fee would be waved. So, if we book a business with somebody else between now and at the end of the quarter, we'd be very clear, we are not going back to work for them, so on that case we would recognize the revenue. But in the absence of that we would not do anything until it was 100% clear that we would not in anyway to be returning any of that demob fee back to Chevron.
Judson Bailey - Jefferies & Company: Okay. So if you got a contract though and with somebody else in January you would recognize the revenue in the first quarter, do I have that straight?
Jay Swent: Most likely.
Judson Bailey - Jefferies & Company: Okay. And then a question for I guess either Dan or Mark. On the jackup market you look at, a lot of tender activity seems to be developing; a lot of it is starting up in 2011. In the meantime, there is a lot of rigs, some of yours, so many different competitors rolling late this year early next year and I believe you may have alluded to the senior prepared comments, but should we expect some softness in utilization to end the year before some of these tenders get going or is it going to be more daily pressure. How do you think that works out over the next four or five months?
Mark Burns: Jud this is Mark again, I think again you need to look at each area in isolation. For example, in the North Sea we are starting to see Q2, Q3, next year we are starting to see some pre-tender work coming out, there are some development projects that are coming up, so we expect utilization in the North Sea to continue to improve although we will not see much improvement between now and the end of the year. However, we do expect to see improvement in 2011. The Middle East obviously an oversupplied jackup market, I think the middle will remain challenging for the foreseeable future. South East Asia again remains quite resilient I believe in terms of fixtures and utilization. Again in South East Asia we will start to see some longer term contracts rollover which could put some further challenges in the market there. But overall we are optimistic, as Dan mentioned, our jackup utilization improved from 64% to 79%, so we are encouraged by what we see, particularly of all prices remain stable.
Dan Rabun: Jud, whenever people ask me that question I kind of answer it this way, because I'm always interested when people say there is bunch of rollovers coming, is that going to affect pricing and utilization. I would expect around the world the average length of the jackup contract is no more than two years. So that means 50% of the rigs rollover every year. So there is always a bunch of rigs rolling over, I mean that's just the dynamics of that market. So, there are a lot of rigs coming available next year, but they will be next year and they make the year after that and they were last year too. So I mean it's just the dynamics of that market.
Judson Bailey - Jefferies & Company: Yeah, now I understand. I guess I was wondering more, just a year in dynamic, it just seems like a lot of the new work coming is for next year and if you have that rig rolling in November could it be down for 30 or 45 days between contracts that's more what I was wondering.
Jay Swent: Yes. And Jud, this is Jay. I mean I'll direct you to my comments relative to the fourth quarter, and you know the point we made is that you might see a little bit of pricing decline as some of the older contracts roll off, but we really expect to maintain about the same rate of utilization on the fourth quarter that we had in the third quarter.
Judson Bailey - Jefferies & Company: The rig that you sold on the 60, do you have an estimate on what it would have cost to bring that rig back into service, never was if you wanted to get a contract for it, what kind of CapEx you were looking at to get that rig in operating condition?
Jay Swent: Well, I think the answer to that is the rig pretty much was in operating condition. We coal-stacked it because it didn't have any good immediate work prospects, the point and I should clarify one thing to your question which is we have not sold the rig yet. We have a deposit for sale and we anticipate that the sale will happen here quickly, but the rig is still owned by us at the moment. The point I would make on ENSCO 60 is it's a one-off rig relative to our fleet, it's the only one in the fleet and it's a rig that we probably have not spent the same kind of money overtime on in terms of upgrades and life extensions. But it's still a very marketable rig and one that could go to work tomorrow.
Dan Rabun: Yes Jud, this is Dan. The ENSCO 60 is the one rig in our fleet that we did not spend money on when we did our jackup enhancement program that we talked so long and heard about over the last decade. The one rig we didn't spend the money on, so we are making decision to coal-stack the rig, we looked at it and estimated the capital that would be required, not to put it into service but to bring it up to the Ensco standards that we had done with the other rigs, the cost simply just didn't justify it versus a new build cost, so that's why we made the decision to coal-stack the rig and not invest any additional capital.
Operator: Thank you. Our next question is from the line of Collin Gerry of Raymond James. Please proceed with your question.
Collin Gerry - Raymond James: Dan, I may go back to your closing comments, I think you said you know in current little prices or I sense some bullishness or some emphasis on your bullishness for offshore rig demand going forward which certainly makes sense. Is that a change in your opinion or are you getting more bullish on offshore rig demand in current oil prices than maybe over the past 6 months or years, is that just kind of a continued outlook?
Dan Rabun: No, I don't think my opinion has changed and you know I mean what I have said fairly consistently on these conference calls, if commodity prices stay where they are today, we will see utilization of rigs gradually nurture and then when you get up to that 85% utilization, that's when you see some real pricing momentum. That's what every cycle before has seen and I don't see any reason to believe this cycle is going to be any different. So, I am encouraged just by the underlying fundamentals that we have seen in previous cycles at these commodity price levels. I'll remind everyone that we set all of our record fixtures in the history of this company several years ago at oil prices that were lower than they are today. So, it's a very healthy commodity price environment right now, and I'm sure everybody has got their own view of what pricing dynamics are out there, but most of what I read would support that there is a possibility for some more upward movement, the price of oil, which would always be positive for our business.
Collin Gerry - Raymond James: Absolutely. Okay. I just wanted to kind of quantify your statement. My second follow-up would be and I apologies if I missed this earlier, but it seems to me that your kind of going after the higher end of the jackups or highgrading your fleet, if you want to call it that, you sell the older stuff. Has the build diversify kind of debate resurfaced and I know you all have been looking at buying recently but are you looking at possibly get into the new build market on the jackup side?
Dan Rabun: Well, you know we evaluate everything, but I'll tell you a transaction alike and that's ENSCO 109. That's a rig that we've offer $186 million, they add $6 million of spares on it, so it was about $180 million, it's very heavy duty jackups. Compare that to the new build price that has been announced by recently in the last couple of weeks by some other folks and with a couple of years of delivery, while we are out operating that rig, I'd say that's a favorable transaction that I'd like to repeat again and again. So, there is always a balance there between buying something today and building tomorrow, so it's an interesting judgment you've got to make.
Collin Gerry - Raymond James: But I mean, are you all considering new build jackup, I would imagine that building new jackups has from those who have been off the table for the past couple of years, are you all revisiting that concept more right now or is it really just looking at their purchases.
Dan Rabun: I wouldn't say we are revisiting. We visit this every day in our strategy and again even during the in-build jackup cycle we were looking at that, so it is not something that we have any change. We are continuously talking to arch, we are continuously talking to customers about long-term programs. If we see an opportunity that we think presents itself, we will act on it.
Operator: Thank you. Our next question is coming from the line of Robin Shoemaker with Citi. Please proceed with your question.
Robin Shoemaker - Citi: A lot of my questions have been answered already, but you did mention regarding Mexico and expecting semi-tender. Is that a deepwater or mid-water requirement?
Carey Lowe: Robin, this is Carey Lowe. We are hearing some talk about a tender for a deepwater rig and I would assume that's in the 5,000 to 7,500 DP type of water depth range. It's just right now talk. We don't know whether it's an incremental requirement or a replacement for a rig that's already there. We are definitely watching that and continue to remain in contact with PEMEX.
Robin Shoemaker - Citi: Just one other clarification on the ENSCO 109. Jay, did I hear you say it is working for 150, the fixed status shows low 100s.
Jay Swent: What I said Robin was that rig when we purchased it under purchase accounting, your write the contract up to what the fair value should be on the day rate. The day rate's in low 100, but what we are actually recording in the books on a monthly basis is a number closer to 150,000, and that's standard purchase accounting. So we will do that over the life of contract.
Robin Shoemaker - Citi: Since the rig is in Australia, how do you assess the market for that rig in Australia against tenders or increase you've had?
Dan Rabun: Well again, this is an extremely heavy duty rig, 2 million pound rig that its capable requirements or its technical capabilities are not being used for its current drilling. So I think the key, like I said earlier, it's take the right rig for the right job. So, there has always been one or two jackups working in Australia and fortunately we, it's usually been an Ensco rig, so we are viewing our alternatives with that rig.
Operator: Thank you. Our next question is from the line of Ian MacPherson with Simmons. Please proceed with your question.
Ian MacPherson - Simmons & Co.: I just wanted to see if I can clarify the outlook for the 7500 and sort of bit of the triggers for determining the destiny of the rig and the release of the demob payment from Chevron. Did you say that you think that you have gotten near clarity on that outcome relatively soon, so probably sometime this quarter will see one way or the other?
Dan Rabun: No, I think what we said at the end was that certainly since the last conference call, in the last conference call we were getting ready to finish up the job and demob to the shipyard. We are now in the shipyard and what has happened since we've gone into the shipyard is that we've had a number of conversations which are always encouraging, and until you have a contract you don't have a contract. So I think we are just saying there is a reasonable chance that we may get a contract, but the reason we gave a very wide range in our guidance this quarter is that it's a very uncertain situation right now. So the only color that we can really give you, so there happens some encouraging conversations.
Ian MacPherson - Simmons & Co.: Okay, would you be willing to comment, we seen a handful of high end deepwater day rate fixtures in the past few months supporting this mid-400 day rate floor. Are you comfortable with analysts thinking about that for your rigs in the mark-to-market basis. Now I know the 7500 is a little bit lower spec than the 8500 series but as a general range are you comfortable with us thinking about that leading edge and…
Dan Rabun: I don't think we should talk specifics on potential day rates. Just you do have to consider that each market is different and each contracting situation is different but it's never that good to be out there talking about your potential negotiations with clients in specific numbers or even ranges, so I don't think we should really talk about that.
Ian MacPherson - Simmons & Co.: One more quick one if I may, Jay sorry to be obtuse on the 109, are we modeling the 100 on the fleet status, are we modeling the 150 that you are accruing in the books?
Jay Swent: You probably for your modeling purposes should be modeling the 150.
Operator: Our next question is from the line of David Smith with Johnson Rice. Please proceed with your question.
David Smith - Johnson Rice: Following up on your comments on the North Sea jackup outlook which looks like it could tighten pretty quickly in the first half of next year. How are you looking at contracting in that market and specifically your view of signing term contracts at the recent day rates?
Unidentified Company Representative: I'm sorry, would you repeat the question?
David Smith - Johnson Rice: Sorry, on the North East jackup market, on your outlook saying that it could tighten up early next year. How are you looking at signing term contracts there? What's your view of signing term contracts at recent market levels?
Bill Chadwick: David, this is Bill Chadwick. You know, I think our view is that as long as the rates are seeing commensurate with extending the term we'd look upon extending our backlog in that market very favorably now.
David Smith - Johnson Rice: Okay. Thanks. And if you had a near term opportunity for a high spec job that required the 109, would you be able to switch that outlook with the different lower spec one on the current program?
Bill Chadwick: Yes. I think we would be able to do that.
David Smith - Johnson Rice: And quick follow-up, what is the cost that you recording now on the 109?
Bill Chadwick: For the 109, the contract truly expense outlook for 4Q would be about 7 million David.
Dan Rabun: Okay. This is London we got cut off the telephone call. So are we back on?
Sean O'Neill: Yes, you are Dan.
Dan Rabun: Okay. Good.
Operator: Our next question is coming from the line of Roger Read from Natixis Bleichroeder. Please proceed with your question.
Roger Read - Natixis Bleichroeder: I guess a slightly different way to ask the question of whether business is getting better or worse or stable and then obviously following off of what's happened with Macondo and forced measures everything. Are you seeing your clients push for any different terms under the contracts? I mean obviously when day rates are moving up its easier I should say to dictate terms in your favor. But at a time when day rates maybe more stable, are you seeing pushback from clients on that front?
Dan Rabun: On the contract terms, it is a good question, I have asked the same one to our folks and I don't we are seeing a big change in contracting strategy with our customers. I kind of would have expected that there might be more of that but that really doesn't seem to be any real change.
Roger Read - Natixis Bleichroeder: Okay and then kind of along those same lines obviously we heard about Mexico requiring or trying and require younger rigs. We've seen a similar thing out of parts of the Middle East. Does that seem to be gains, strength in terms of clients requesting that or do you think that's also one of these things kind of its reared its head, its there but say but its not going to become a major part of the market.
Dan Rabun: Bill you want to take that?
Bill Chadwick: PEMEX announced that requirement some time ago, but to date they really have not succeeded in adding any of these newer rigs to their fleet expect one Mexican owned rig that was really built specifically for that market. So clearly there is an initiative out there to try and update some of these fleets with newer equipment but they are also trying to fairly severely cap the rates that they paid for. And so far that effort really hasn't resulted in very much change in their fleet mix. So I think it remains to be seen whether that initiative is going to have much success or not.
Operator: Thank you. Our next question is from the line of Dan Boyd with Goldman Sachs. Please proceed with your question.
Dan Boyd - Goldman Sachs: Hi thanks. Hey Dan, in your prepared remarks you mentioned that we might see some weakness in rates in Southeast Asia just as a number of new builds, the newer rigs were off contract maybe before some tendering picked up for next year. Was that a comment on the market in general or should we direct that more towards some of the lower spec rigs. How do you think about the bifurcation in that market?
Mark Burns: I think Dan mentioned it in his opening comments, we've seen the Southeast Asia market remain quite active even though the majority of the new bill jackups that are being delivered are being built in that part of the world. Still today for the end of the year I think there is nine jackups to be new builds to be delivered and if those nine jackups all but I believe two have contracts. So we are seeing the market soak up this extra capacity now, as some of these legacy contracts rolls over, as we discussed earlier. We may see some pressure on the pricing in that area next year in some areas but again, just today I was visiting with Dan Rabun, we still continue to see enquiries come in for work in Indonesia, for work in Malaysia or work in Vietnam. So Southeast Asia and that market Dan continues to remain quite robust.
Dan Boyd - Goldman Sachs: I got that. That's helpful. One other thing I was trying to get at is though, if we did see pricing weakness, would you expect it to really just be a wider bifurcation in that the lower spec rig suffer a little bit more or would you expect just a general pressure on the high end and the low end?
Dan Rabun: I think you may see some pricing weakness on the lower end jack-ups, I think that's only natural. Again if there is newer equipment available in certain of these markets, I think operators a lot of times will prefer newer equipments. So I think just that in itself will tend to add some pressure to the lower end equipment. That's why its critical Dan to keep your equipment well maintained and up to spec and you can continue to work through these up and down cycles that we go through.
Dan Boyd - Goldman Sachs: Okay, great. Just wanted to make sure you aren't saying that the better rigs will see pressure as well. Thanks.
Operator: Our next question is coming from the line of Geoff Kieburtz with Weeden. Please proceed with your question.
Geoff Kieburtz - Weeden: I think while London was offline, there we talked about the 109 again, just to be clear Jay, I think on the revenue line we're modeling $150,000 a day but then you are amortizing some of the purchase price right up so that the margin you are generating on that is equivalent to what you will get on a 115?
Jay Swent: No its equivalent to what you would get on the 150, 150 price.
Geoff Kieburtz - Weeden: So there is no impact on OpEx, it's just on the revenue, you get a bigger margin.
Jay Swent: That's correct.
Geoff Kieburtz - Weeden: All right, interesting.
Dan Rabun: Well, purchase scanning doesn't make a lot…
Geoff Kieburtz - Weeden: Yes, it's a nice trick I suppose.
Jay Swent: It's been done in several other merger situation and acquisition.
Dan Rabun: I think the one big merger in our business a few years ago there was a substantial amount of purchase accounting adjustment.
Geoff Kieburtz - Weeden: All right (inaudible) that, Dan I think last time we spoke you were saying that you thought, we could see a rig contracted in a drilling mode in over 500 feet of water in the Gulf of Mexico as early as the first quarter. Since that time the moratorium's been lifted. Have you changed your view at all? Do you think it could happen this year?
Dan Rabun: I don't know if I want to go down the lane on that one, but we're working through the process with the government and really the operators are the ones that are driving the permitting process and there are the ones that have the engagement with the regulator. So you're probably best to direct questions like that to the operator community and see what they say. I will say the new safety rules came out and they were no great surprise to us. We've been able to work our way to the equipment portions of the safety regime. So, really this environmental permitting that seems to be the hold up and be (inaudible) needs to understand their processes and procedures and I know they are working on permits. So you also have to recall that there were a number of wells that were permitted at the time of the moratorium. So I think you could see some of those go back to work sooner rather than later but the exact timing of which I'm not sure, but I'm becoming fairly encouraged about what I'm saying.
Geoff Kieburtz - Weeden: Okay. Great. And then the comment on the ENSCO 60 is the capital necessary to make it an acceptable quality for the ENSCO fleet was not worth it. Can you give us a ball park of, what is the capital expenditure as a percentage of new build cost where you make that decision, that's not worth it?
Bill Chadwick: I think its not just a question of the capital required to do something to the condition of the rig, it also addresses the capability of that particular unit to begin with. So the capital required just to keep that rig in class and keep it in active fleet in the Gulf of Mexico is not all that large, but our philosophy is that over time we'd like to take some of the older and less capable equipment and where we can realize some sort of value for it and hopefully not increase the fleet work actively directly competing against. We'd like to move that out and try and find ways to displace it with newer more capable equipment and that's the reason for the decision on ENSCO 60.
Geoff Kieburtz - Weeden: I was fishing for a little bit of a rule of thumb if you will. Is it a third of new build is it 50% of new build where you go, that's not just worth it because what we result with after that expenditure is kind of by definition not as good as the new build.
Jay Swent: One thing I'd remind you of when we were talking about the upgrade of the fleet many years ago, the point we used to make was we'd never really want to find ourselves spending more than 50% of the cost of a new rig upgrading an existing one and that was many years ago when we were looking at it. Today when you look at all the new rigs coming in and that's why Bill was making a point about the capability of the rig. I think it would be hard for us to feel good about spending 50% of the cost of the new build to upgrade to a life extension on a rig that's still not going to have the same capability of the new built. So its probably more in the 30% to 50% range today.
Dan Rabun: Okay operator we will take one more question please.
Operator: Okay, sir that question is coming from the line of Scott Burk with Oppenheimer. Please proceed with your question.
Scott Burk - Oppenheimer: Hi just had one follow-up question on the ENSCO 80, it was suspended by ConocoPhillips from October to mid first quarter 2011. Could you kind of describe what exactly is going on in that contract?
Unidentified Company Representative: Yes Scott we have a long-term contract with ConocoPhillips on the ENSCO 80 we have had for quite some time and in the contract it allows for a suspension of the contract from time-to-time for a certain period. But during that period we're able to go out and market the rig and work with other companies as need be. So we were hoping that the ENSCO 80 would continue to work through the end of the year but ConocoPhillips has had a change of program. However we do hope to restart that rig early in 2011 and in the meantime we are free to market the rig for any short-term opportunities as may come up.
Scott Burk - Oppenheimer: Okay. And then just sorry to beat the dead horse here, but the ENSCO 109, there is going to be some amortization deferred revenue that will come out of your cash flow, right. You are just going to get the cash flow from the 100,000 a day, but EPS recognize it as 150. Is that how it's going to work?
Jay Swent: Exactly correct Scott.
Sean O'Neill: Okay. Thank you everyone, before we end our call today, just in anticipation of the Texas Rangers defeating the Yankees later this week, we just want to extend our condolences to all of the Yankee fans on the call and obviously congratulate all the Texas Rangers fans. Thanks very much.
Operator: This concludes today's teleconference. You may disconnect your lines this time. Thank you for your participation.